Operator: Welcome to the ProAssurance First Quarter 2022 Earnings Conference Call. My name is Ruby, and I will be your moderator for today’s call. [Operator Instructions] I will now hand over to our host Jason Gingerich, VP of Investor Relations, to begin.
Jason Gingerich: Thank you, Ruby. Good morning, everyone. Welcome to ProAssurance’s conference call to discuss the company’s first quarter 2022 results. These results were reported in news release issued on May 9, 2022, and in the company’s quarter report on Form 10-Q, which was also filed on May 9, 2022. Included in those documents were cautionary statements about the significant risks, uncertainties and other factors that are out of the company’s control and could affect ProAssurance’s businesses and alter expected results. Please review those statements. Management expects to make statements on this call dealing with projections, estimates and expectations and explicitly identify these as forward-looking statements within the meaning of the U.S. federal securities law and subject to applicable safe harbor protections. The content of this call is accurate only on May 10, 2022, and except as required by law or regulation, ProAssurance will not undertake and expressly disclaim any obligation to update or alter information disclosed as part of these forward-looking statements. The management team of ProAssurance also expects to reference non-GAAP items during today’s call. The company’s recent news release provides a reconciliation of these non-GAAP numbers and their GAAP counterparts. I would like to remind you that the call is being recorded, and there will be a time for questions after the conclusion of prepared remarks. This morning we will discuss selected aspects of our quarterly results on today’s call and remind investors that they should review our filing on Form 10-Q and the accompanying press release for full and complete information. On our call today, we have Ned Rand, President and CEO; Dana Hendricks, Chief Financial Officer; Michael Boguski, President of our Specialty, Property and Casualty Lines; and Kevin Shook, President of our Worker’s Compensation Insurance operations. Ned, will you start us off, please?
Ned Rand: Thank you, Jason. Last Thursday marked the 1-year anniversary of the closing of the largest acquisition in our history as we brought into the ProAssurance family the team members and policyholders of NORCAL Group. While the closing of that transaction was the culmination of much hard work and due diligence, it also marked the beginning of the hard work of the integration process which we’ve spent over a year planning for. As I look back at the year that has passed, I am proud of how much the teams of ProAssurance and NORCAL has accomplished to integrate the operations of these 2 great companies while continuing to deal with the pandemic’s impact on both our operations and the business of our insureds. I’m also pleased with the financial and operational benefits that the NORCAL transaction has brought to ProAssurance including a broader, nationwide footprint, a wealth of talent and experience from the team members that joined our organization, greater scale and efficiency and a history and reputation recognized by many physicians around the country. The additional assets in the portfolio also increase our investment leverage providing an opportunity to benefit from more attractive core fixed income yields and increased investment income. The improvements we are making in our health care professional liability business are being seen in both the legacy ProAssurance business and the acquired NORCAL book. Dana and Mike will take you through those results in detail and provide insights into what actions are leading to the improved results. The worker’s compensation insurance operations continue to provide diversification for the overall organization as the continues to navigate a competitive market place. Kevin will discuss the signs we are seeing in that business and the actions we are taking to respond appropriately to market conditions. We’re also pleased to report just last month AM Best affirmed a excellent financial strength rating of the members of the ProAssurance Group and upgraded the long-term issuer credit rating outlook to stable. We believe this is indicative of the strong capitalization and financial flexibility of our family of companies following the acquisition of NORCAL. Finally, I’ll note that we successfully implemented our return to office plan in March. As this establishes a more regular cadence to our office environment, we are eager to keep our full attention on what we do best, protecting others. Now I’ll ask Dana to share results for the quarter. Dana?
Dana Hendricks: Thanks, Ned. And good morning, everyone. For the first quarter reported a net loss of $3.6 million or $0.07 per share and operating income of $7.7 million or $0.14 per share. The main difference between the net loss and operating income in the quarter was of course the impact of the current investment environment which I’ll discuss further after touching on our core operating results. Our operating income in the quarter reflected improvement and underwriting results, the benefit of expense synergies from the NORCAL acquisition and growth in net investment income. From a production standpoint, gross premiums written increased almost 50% due to the addition of the NORCAL premium base. Excluding NORCAL, our top line declined, reflecting our dedication to disciplined underwriting and our specialty P&C segment and the impact of our lower participation in Lloyd’s Syndicate 1729 beginning with the 2021 underwriting year. From an underwriting results perspective our consolidated combined ratio excluding transaction-related cost improved just over 4 points from the prior year quarter driven by an almost 5 point improvement in the combined ratio in our specialty P&C segment. However, all of our operating segments excluding worker’s compensation insurance contributed to that result. Before discussing the components of the combined ratio, I’ll briefly touch on the change in our estimate as unallocated loss adjustments expenses or ULAE in our specialty P&C segment in the quarter. We decreased our estimate of ULAE to incorporate changes to the segment’s expense model after substantially integrating NORCAL into our operations. That change resulted in a decrease in our consolidated net loss ratio of 2.7 point with an equal and offsetting increase to our consolidated expense ratio. Note, the change had no impact to our total expenses, combined ratio or operating results. Excluding the change in ULAE, our consolidated current accident year net loss ratio was about 1 point higher as the impact of lower loss ratios in our standard physician book were muted by the addition of the NORCAL book, which carries a higher average loss ratio. The consolidated current accident year net loss ratio also reflected a higher ratio in our worker’s compensation insurance segment driven by the continuation of intense market place competition and resulting renewal rate decreases, partially offset by the impact of favorable claims trend on our current year loss estimate. As it relates to prior accident years, we’ve recognized just over $5 million of favorable development in the quarter, the majority of which came from our specialty P&C and worker’s compensation insurance segment. Excluding the change in ULAE, our consolidated expense ratio improved almost 6 points, reflecting both improved leverage on our operating expense base and synergies realized from the NORCAL acquisition as well as the benefit from prior organizational restructuring. From an investments results perspective, net investment income grew with the addition of NORCAL’s investment portfolio. Our equity and earnings from our LT and LLC portfolio produced $10 million in the quarter, a very strong result. However, we anticipate the impact of current market volatility to be reflected in next quarter’s result as our LP and LLC investments are reported on a 1 quarter lag. As I previously mentioned, the investment environment was a challenge this quarter as interest rate increases weighed on bond prices. These interest rate increases led to net investment losses of $14 million recognized through earnings leading to the net loss in the quarter. Net investment losses were primarily related to changes in the fair value of our bond funds which are classified as equity. The current interest rate environment also led to $141 million of after-tax unrealized holding losses on our fixed income portfolio. These unrealized losses go through our other comprehensive loss directly to equity. Accounting for most of the decline input value. I like to stretch that we have a history of strong operating cash flows and an investment approach that holds most securities until maturity. We’re happy to trade temporary fixed income price decline with the opportunity to reinvest a higher yield. In fact, current bond reinvestment rates are approximately 100 to 150 basis points higher than a reported average both yields for the quarter. Overall, we’re pleased with our quarterly operating results as we continue to show improvement in underwriting results and see the benefit of the operational leverage of the NORCAL transaction. With that, I’ll turn it back over to Jason.
Jason Gingerich: Thanks, Dana. Now we’re going to pivot to Michael Boguski for commentary on the specialty property and casualty segments. Mike?
Michael Boguski: Thank you, Jason. The positive operating momentum in the segment continued in the first quarter of 2022. The 5 point improvement year-over-year in the combine ratio reflected the benefits of prior re-underwriting and reorganizational efforts as well as the early success of the NORCAL integration. This included a $129 million of gross written premium from NORCAL in the quarter, a significant contribution to the top line growth in the segment. Importantly, this reflected strong, premium retention of 90% and average price increases of 11% in the NORCAL standard physician book. Overall, gross premiums written in the quarter were $258 million a year-over-year increase of 86%. Premium retention of 83% and pricing increases of 90% were both year-over-year improvements in our underwriting performance. Specialty health care retention was 61% in the quarter due to the loss of 3 large accounts representing $12 millions of premium writings. We remain focused on bottom line results in the large account space. $8 million of new business was written across the segment, a decrease of $4 million to the comparable quarter as we continue to be disciplined in a competitive marketplace. Excluding the ULAE changes outlined previously by Dana, we experienced a 3-point reduction in the legacy ProAssurance current accident year loss ratio as a result of the execution of our underwriting strategies. This was offset by a higher average loss ratio on the NORCAL book of business, resulting in a relatively flat year-over-year loss ratio. We continue to be pleased with our underwriting efforts on the NORCAL book as we focus on bringing the loss ratios in line with the legacy ProAssurance book. We were encouraged by lower than historical frequency reductions in our health care professional liability business, which we attribute to disruption in the court systems and the benefit of continued underwriting efforts. Due to the uncertainty of COVID-19 disruptions in the long-tail nature of our lines of business, we remain cautious in recognizing these favorable frequency trends in our current accident year loss ratio. Exclusive of the ULAE changes, the segment expense ratio declined by 5 percentage points year-over-year. This included $1.6 million of nonrecurring expenses incurred during the current period related to the transaction and restructuring efforts. The largest driver’s improvement are the prior organizational restructuring, proactive expense management strategies and of course, the expense synergies recognized from the NORCAL acquisition. We established an initial plan to achieve $18 million in expense synergies from the transaction. And through our efforts to date, we have achieved $22.5 million in annual savings. We continue to be pleased with the NORCAL integration and ongoing improvements in our operating performance. We would describe the NORCAL integration is exceeding our expectation and is ahead of schedule from numerous perspectives, including re-underwriting efforts, operations, top line growth and expense synergies. Overall, the combination of the companies has improved our future competitive position. Jason?
Jason Gingerich: Thanks, Mike. Kevin, will you bring us up to date on the workers’ compensation insurance and the segregated portfolio cell reinsurance segments?
Kevin Shook: I will, Jason. Thank you. The workers’ compensation insurance segment produced income of $1 million and a combined ratio of 99% for the quarter ended March 31, 2022. The combined ratio, excluding intangible asset amortization and the corporate management fee was 96%, an indicator of the results of our ongoing business performance. During the first quarter, the segment booked $72 million of gross premiums written, essentially flat compared to the first quarter of 2021. We continue to exercise prudence in underwriting, focusing on adequate rate for exposure, particularly in this highly competitive pricing environment in workers’ compensation. Renewal price decreases in our traditional book of business were 4% in 2022 compared to 2% in 2021, and premium renewal retention was 85% for the first quarter of 2022 versus 89% in 2021. New business writings for 2022 were $4 million compared to $6 million in 2021. Audit premium in our traditional book of business increased about $1 million quarter-over-quarter indicative of the payroll rebound after the lifting of pandemic restrictions in our underwriting territories. We made no adjustment to our earned but unbilled audit premium, otherwise known as EBUB, in the first quarter. We will continue to monitor process audit activity and the impact of higher wages on the EBUB asset in future quarters, but remain conservative in our view of increasing this asset currently. The calendar year loss ratio increased slightly to 67% in 2022, reflecting a higher current accident year loss ratio, while the current accident year loss ratio increased 1 point to 72% compared to the first quarter a year ago, the ratio improved compared to our full year 2021 ratio of 74%. Favorable development was $2 million in both 2021 and 2022. Early in and throughout 2021, we discussed the increase in loss activity we experienced and recognized related to return to employment and the labor shortage. The short-tail nature of our business model enabled us to recognize these trends real time. The decrease in the first quarter of 2022 accident year loss ratio compared to the 2021 full year reflects the impact of favorable claim trends, partially offset by renewal rate decreases driven by the competitive marketplace. The claims operation closed 19% of 2021 and prior claims during the first quarter of 2022 indicative of the short-tailed nature of our Workers’ Compensation business model. Turning to expenses. The underwriting expense ratio increased in the first quarter from 31% in 2021 to 32% in 2022, largely due to higher general expenses from team member compensation, business-related travel and the early termination of a real estate lease. Wrapping up with the Segregated Portfolio Cell Reinsurance segment, we reported a segment loss of $153,000 for the quarter, which included underwriting income of $476,000 that was more than offset by investment losses. We renewed all of the alternative market programs that were available for renewal during the quarter. Jason?
Jason Gingerich: Thank you, Kevin. Now I’ll turn back to Ned for a review of the results from Lloyds. Ned?
Ned Rand: Thanks, Jason. The Lloyd’s segment reported a profit in the first quarter and a significantly improved combined ratio compared to the first quarter of 2021. For the 2022 underwriting year, we are continuing participation at 5% in Syndicate 1729. Also for the 2022 underwriting year, Syndicate 6131 ceased underwriting on a quota share basis with Syndicate 1729, and its applicable business will be retained within Syndicate 1729. That wraps up our review of the consolidated and by segment results for the quarter. Before turning the call back over, I would like to offer my heartfelt gratitude to our longtime CEO and Executive Chairman, Stan Starnes, who will be retiring as Executive Chairman of the ProAssurance Board of Directors on May 24. Stan, thank you for your support of me personally and for all that you have done over the past 15 years for our team members, insureds and partners. You have left a lasting influence on ProAssurance, and we wish you the very best and all that you continue to do for the community around you. Now our team would be happy to answer what questions you have about our results or other aspects of our business.
Jason Gingerich: Thank you, Ned. Ruby. That concludes our prepared remarks. We are ready for questions.
Operator: [Operator Instructions] Our first question is from Greg Peters of Raymond James.
Greg Peters: So for my first question, I’m going to focus on just the top line in Specialty PC. And I know you provided us color and about what was going on there. And I guess what I’m looking is for more information on the results, excluding the benefit from NORCAL, it looks like there was a slight decline in premium. Also, if you could give us some more color around the 61% retention in specialty health care, that would be helpful.
Michael Boguski: Greg, it’s Mike. Just to comment on the premium writings exclusive of NORCAL that really was driven by specialty. We had 3 large accounts in the quarter, representing $12 million of premium that we lost, which drove the 61% premium retention rate and the decline in premium exclusive of NORCAL. That is really very much a design strategy to be disciplined in the large account space. A number of large accounts over the last 2 quarters, roughly about $30 million have not meet our profit expectations that we’ve been really disciplined on that side of it and made those decisions.
Greg Peters: Well, that makes sense. And I guess, going forward, do you think the book is settling out at this point? Or do you anticipate some further disruptions based on your underwriting actions?
Michael Boguski: The really great news on that front, Greg, is once we get to the third quarter of 2022, we will have been through re-underwriting efforts at ProAssurance legacy, and we will be through all of the NORCAL re-underwriting efforts. The large account activity, just going back to that for a minute, has taken a lot of premium and loss volatility out of our organization. And what I’ll outline there is we now, Greg, as you look at that large account space, our largest account is $5 million or lower. So we no longer have accounts on the books in that kind of $7 million to $10 million range. So that should be helpful from a retention perspective and a loss volatility perspective as we go forward.
Greg Peters: Got it. Makes sense. Okay. And then my second question is pivoting to investment income. I understand there’s some issues with investment gains and losses and equity earnings and unconsolidated but your investment income still was up 36%. And Dana, I was wondering if you could just provide us a little bit more color behind the moving pieces because with the bump up in rates, I’m sure at some point, that’s going to be a benefit to your fixed income portfolio.
Dana Hendricks: Sure. Sure. Happy to do that. So as I think about it, average yield for our fixed income maturity portfolio in the quarter was -- our average yield was about 2.3 points, slightly lower than the first quarter of the prior year. That said, with the rise in the interest rates, our current reinvestment rate is about 100 to 150 basis points higher than that average yield. So while our fixed income portfolio is primarily composed of like high-quality fixed income securities with more than 90% being investment grade. And our weighted average effective duration is around 3.8 years. So we’d expect the portfolio to completely re-price between years 3 and 4. So looking forward to that aspect of the rising interest rate environment.
Greg Peters: I guess I’d be remiss if I just didn’t ask a reserving question. The courts were seemingly closed or maybe there was a growing backlog of claims because of COVID. Just curious where you are in that process. That’s my last question.
Ned Rand: Yes. It’s a good question, Greg. And I think it’s really kind of state specific as to where the court systems are. While court systems have opened up largely, you’re right in stating that there are pretty big backlogs that the court systems are having to work their way through. So we’re not up to, I would say, the kind of the activity that we would historically have seen. It certainly is picking up. I think from a reserving standpoint, it’s the uncertainties around what all that means that causes us to be very cautious. Mike mentioned in his remarks that we saw yet again, a decline in claim frequency, but we’re reluctant to really respond to that because we don’t know what’s over the horizon. One thing we know as regards COVID and potential claims that might arise from COVID is that we’re beginning to approach the time where the statute of limitations will begin to run. And what we’re uncertain about is whether or not we’ll see a flood of claims for the industry as that statute approaches. I certainly don’t anticipate that, but we also don’t want to be overly enthusiastic and buying into the claim frequency reductions, both in our reserving end and how we price going forward.
Operator: Our next question is from Mark Hughes of Truist.
Mark Hughes: Ned, when you -- Ned or Mike, when you think about the decline in frequency once again, but then you’re pushing your physician pricing, and it’s great to see you up 10%. How do you make those judgments about whether you need the pricing if claims are still falling?
Michael Boguski: Mark, it’s Mike. Just a little color on the frequency trends. Those trends remain at similar levels in 2021 in our health care professional liability outlook, which was significantly lower than pre-pandemic levels. So that’s kind of the good news. I think it really relates back to what Ned just outlined. We need to make sure that our pricing is adequate and if the pension, the pipe from the court systems come back later in the year or in future years. So we want to make sure that we’re pricing for that exposure. There’s just uncertainty. I do think that we’re very encouraged by the pricing level increases, particularly with the NORCAL book to start the year. Part of the reason we were able to book $129 million, which was half of our segment’s premium in the quarter. They had a great retention on that. At 90% in the standard physician business, plus 11% increase. So we’re pleased with that result.
Mark Hughes: The $129 million from NORCAL, what was their written premium in this quarter last year?
Ned Rand: I don’t know if we’ve got that right in front of us. We had about a 90% retention of the business that renewed in the first quarter for NORCAL.
Mark Hughes: Yes, yes. Is there -- at this point in pushing for the rate increases, is there a combined ratio target? A lot of moving parts, and I understand your conservatism around the booking losses. If we think kind of a year or 2 years out on a normalized basis, what should the combined ratio be in the health care business?
Ned Rand: Mark, we continue to target 700 basis points over a 10-year treasury for the kind of overall return for the organization. And when we look at the individual lines of business, and it varies by line, but we need to write in that high mid-90%s combined ratio in order to achieve those objectives.
Mark Hughes: And that’s for the organization as a whole?
Ned Rand: Yes. It’s kind of varied a point or 2 by line, depending kind of on the duration of the liabilities and the leverage that you feel you need for that particular line of business. So because the duration of the liabilities and the volatility of our work comp business is lower than the health care business. We think we can write that on a slightly more levered basis than we do the health care and Specialty P&C business, but it’s a 1 or 2-point swing in the loss ratio from that. But it’s -- for all of them, it’s going to be that high mid-90%s call it, 96%, 97%, 98% combined ratio that we need to hit in order to achieve those targets.
Mark Hughes: Then one quick final question. Dana, the $10 million equity and earnings, you point out that that’s reported on the lag and presumably, this equity market weakness in the Q1 will impact that. How correlated is that with the broader equity markets, are there other sensitivities that drive that result? If you could just refresh me on that.
Dana Hendricks: Sure. It’s sort of directionally related. It’s the LPs and LLCs are going to track directionally. They’re not going to be a literal tie to what’s going on in the broader equity market. So just more generally. So we certainly -- if we saw $10 million in income from those LPs and LLCs in the first quarter based on sort of market movement of the fourth quarter, we’re going to -- we look to see something significantly less than that in the second quarter.
Operator: Our next question is from Matt Carletti of JMP Securities.
Matt Carletti: Dana, just a quick one. Just on the commentary around the UA and the good guy on the loss ratio or I guess the up on the loss ratio down in the expense ratio. Is that a onetime? Or is there any kind of ongoing persistency to that kind of trading off movement?
Dana Hendricks: Yes. So Matt, it’s the reverse of what you said. It was -- it resulted in a lower current accident year loss ratio and a higher expense ratio. That’s direct -- and then it will persist. It is not a onetime event. It will persist.
Matt Carletti: Okay. Just kind of reset the bar going forward?
Dana Hendricks: That’s correct. You got it.
Matt Carletti: And then I don’t know if Ned or Mike, just a commentary around the 3 points kind of improvement in the legacy ProAssurance portfolio and kind of the offsetting NORCAL. Can you just dig in a little deeper on why it is that NORCAL runs a little higher? Is it anything to do with just geography and markets they’re in? Or is it just a difference in kind of ProAssurance’s corporate targets versus where the NORCAL targets have been historically?
Michael Boguski: Yes. Just a couple of comments on that. Yes. It’s really, I think, about starting point. We started at a higher average loss ratio at NORCAL. And just keep in mind, the 2 years prior to having NORCAL on board, we had done some really good work on our re-underwriting efforts with our legacy business and really brought those loss ratios in line and they continue to improve on an accident year basis. The really good news is NORCAL did a nice job, the underwriters did a nice job of getting off to a good start in 2020, which helped us on that book of business as we moved into ‘21 and ‘22. We accelerated the re-underwriting efforts, double-digit price increase. A lot of work, good point on state strategy. We’ve really worked to increase our writings in core states and maybe deemphasize them in noncore states, which also improves profitability as we go forward. So it’s just a process of working through that over the next 18 to 24 months earning out the premium from those rate increases and just bringing it in line.
Ned Rand: Yes. The other thing -- 2 things I would add to that, Matt, I agree with everything Mike just said. So we still have, in this quarter, unearned premium that was in place at the time of the acquisition. It’s a business we didn’t underwrite as a part of ProAssurance earning in. So I think that’s one aspect of it. The other I think it just has to do with familiarity with the book. We are still learning the NORCAL book of business. We’re pleased with all that we learn about it. But that lack of familiarity, I think, causes us to be cautious as we set initial reserves on that as well.
Operator: Our next question is from Gary Ransom of Dowling & Partners.
Gary Ransom: I had a follow-up on the ULAE question too. If it persists, it sounds like there was just an allocation issue that somehow NORCAL was allocating ULAE and expense differently from you. Am I reading that correctly? Or was there something else?
Ned Rand: No, Gary, I guess essentially, so ULAE is an allocation of general operating expenses to losses to reflect the fact that there are various aspects of your operations, your claims professionals, your accounting folks and kind of different aspects of the organization that spend time on the claims process and the adjudication of claims. And so we allocate a portion of our expenses to losses. Bringing NORCAL in, all the reorganizational efforts that we’ve done over the last couple of years kind of led to a reevaluation of what percent of those expenses should we be allocating to losses. And we reduced that allocation in the quarter. So you get a smaller allocation of those general operating expenses into losses and consequentially more expenses that are kind of retained within that general operating expense number. So it’s just an allocation and a change in that allocation reflective of some of the changes we’ve made in the organization.
Gary Ransom: And so would that mean that this quarter, it was a little bit bigger because there was a ULAE reserve that was also getting reallocated?
Ned Rand: Yes. So this has -- this does not impact the ULAE reserve. We do carry a ULAE reserve, and that ULAE reserve tries to estimate the operating expenses of running off the book of claims. This solely has to do with ULAE or operating expenses in the current quarter.
Gary Ransom: Okay. I think I understood that now. Just on another procedural issue. Can you remind us how you review the reserves over the course of the year? Do you completely review them every quarter? Or is there some schedule that you follow?
Ned Rand: Yes. It’s a good question. So we do review them every quarter. But recognizing, especially for the long-tail nature of the businesses we write, that not a lot happens in any given quarter, we do deeper dives on the actuarial analysis in the second quarter and fourth quarter. But there is a comprehensive review. There is a comprehensive review that’s done every quarter. We just go a little deeper on those 2 other quarters.
Gary Ransom: All right. I was sort of asking because there -- in the recent quarters, there was almost a little bit of an up-and-down pattern to the quarterly reserve releases where big -- a complete reserve?
Ned Rand: Yes. Gary, it’s a good observation, and I think that is reflective of the more in-depth analysis. And just the fact that you’ve got -- when we get to that second quarter, we’ve got 6 months of additional data as opposed to just a quarter. We -- again, given the nature of our business, we really hesitate to make any kind of big moves and big decisions based on 90 days of data. Very different than [indiscernible].
Gary Ransom: Right. Absolutely. And then another question on metrics. As you were talking about the frequency declining and how you are trying to recognize that. Do you see -- have any insight into what the doctors themselves are seeing in terms of the flow of patients. Presumably, that kind of went down at least for non-COVID patients during ‘20 and that maybe that’s building up. Does that -- do you get -- can you see those metrics? And if so does that inform you at all about how to be cautious or what to watch for?
Ned Rand: So you’re absolutely right, especially during the kind of summer of ‘20, you saw the provision of services outside of kind of emergency room and COVID-related things reduced dramatically. And so one expectation would be that at some point that reduction in the provision of services by the physician community would result in a reduction and claim frequency. And historically, I’d say there’s anywhere from a 6 to 24 month lag in that kind of reporting time horizon. And we -- in writing a claims-made book of business is when that report comes through that kind of matters to us. So we don’t know as we sit here today, if that is part of the reason for the decline in frequency, it certainly could be. I think by and large, again, with exceptions as there are kind of increases through the Omnicom variant that came through, when you get to those peaks, I think the provision of more elective procedures and things slows down again, but nothing like we saw in 2020. And I think, by and large, physicians’ offices are back to full capacity, full capacity may be different today than it was pre-pandemic. And it might be in a lot of instances, lower, the more provision of services through telehealth as an example. So maybe not as many people coming into the doctor’s offices can kind of the flow of business being a bit different. But we’re closer today to kind of pre-COVID rates, if not all the way back.
Gary Ransom: Right. Okay. Okay. That’s helpful. And maybe one last question on workers’ comp rates. I noticed they were down more in this quarter versus where they have been most of last year. Is there anything to read into that?
Ned Rand: There’s not. It’s just a very, very competitive marketplace. We’re very focused on keeping our good risks that have made us profitable for so long. So if we’re -- if we have to get back a few points of rate, we’re okay with it, but there’s really nothing more than that to read into that, Gary.
Gary Ransom: And as far as you can see, the workers’ comp loss trends still are relatively favorable?
Ned Rand: Yes, they certainly -- at least for the first quarter of 2022. Last year, we talked a lot about the labor shortage and return to employment kind of byproducts of the pandemic. And at least for the first 3 months of this year, we’re seeing that on the decline. So it does remain relatively favorable, yes.
Operator: We have no further questions. So, I will hand back to our host, Jason.
Jason Gingerich: Thanks, Ruby, and thanks to everyone that joined us today. We look forward to speaking with you again in 2022. Have a good day.
Operator: This concludes today’s call. Thank you for joining. You may now disconnect your line.